Operator: Good morning, ladies and gentlemen, and welcome to the Mountain Province Diamonds Inc. Q1 2025 Webcast and Conference Call. [Operator Instructions]. This call is being recorded on Wednesday, 14 of May 2025. I would now like to turn the conference over to Mark Ball, CEO. Please go ahead.
Mark Wall: Thanks, Andrew. Welcome to everyone who's dialed in to listen to our Q1 2025 results call. My name is Mark Wall, and I'm the President and CEO of the company. Also present on this call is Steven Thomas, our CFO; and Reid Mackie, our VP of Diamond Sales and Marketing. At the conclusion of this presentation, the team will be available for any questions that you may have. Firstly, I would draw your attention to our cautionary statement regarding forward-looking information. This presentation will be posted on our website for anyone who needs additional time to review this statement. Mountain Province Diamonds produces Canadian diamonds to the highest standards of corporate social responsibility, and that is something that we continue to be proud of. We own 49% of the Gahcho Kué mine in the Northwest Territories with the De Beers Group, a division of Anglo American plc, owning the remaining 51%. Today, I will speak to our Q1 2025 results and provide some insights into our operational and financial performance. Following that, Steve, our CFO, will discuss the Q1 financial performance of the company and Reid will comment on the overall diamond market. I will then make some closing remarks to complete the presentation and answer any questions that you may have. I'll start the review of the Q1 results with safety, as always, where the Gahcho Kué operations have continued lost time injury-free and have now worked more than 3.85 million hours without a lost time injury. The total recordable injury frequency rate for quarter one was 2.14, which is an improvement of around 66% from last year. The very challenging winter months are behind us, and the operations are now focused on safely navigating the freshet period, which is upon us. I'm now going to run through some highlights from our first quarter. The story of quarter one was very strong operating results with lower grade treated and depressed pricing, which contributed to a low adjusted EBITDA of $6.1 million for the quarter. First, turning to the operating side. We saw the process plant continue to perform very well with total tonnes treated in Q1 2025 improving by 15% from the same period in 2024. The work completed to stabilize and optimize the process plant continues to deliver strong throughput results. On the all-important mining side, the total tonnes mined increased by 28% in the quarter when compared to quarter one of 2024. The significant increase in mining rate is the result of a sustained focus on drill and blast efficiency, people efficiency, maintenance efficiency and short-term planning efforts. During the quarter, the operating team delivered a record performance on total tonnes mined, which is important in accelerating the waste stripping into the much higher grade NEX ore body. We aim to continue the strong mining performance in order to access the NEX ore body earlier than was planned. Access to the NEX ore body is critical in improving the grade with NEX returning double or in areas triple the grade we are currently processing. I'm pleased to report that the early access to the NEX ore body was achieved. And overnight, the first ore from NEX was fed into the processing facility. The grade for quarter one was low, and this was a major contributor to lower production and revenue. We continue to have confidence in the overall stockpile grade, although in quarter 1, the stockpile gave us a lower grade than anticipated. This is a very large stockpile and the grade in the stockpile is an average rather than a contiguous grade. We have begun treating areas of high grade, although the mineralogy of the ore will reduce the tonnes able to be treated by the processing facility. So in summary, on operations, safety is going very well. Mining and processing are in excellent shape, but the grade of the material treated during quarter one was low. On to the diamond market. Reid will speak in more detail on this. As a general comment, I would say that there are green shoots in the market and that I'm optimistic that the turbulence in the global markets will stabilize as we move through 2025. The announcement a few days ago from De Beers of its intention to close its synthetic brand Lightbox, highlighted the massive price reductions in the factory-made market and is, I believe, a positive for the rare high-value natural diamond market. Reid will provide more details, as I've said. As previously announced, during quarter 1, we saw the closing of the refinancing transactions, which will serve to address the reclamation liabilities owed to De Beers as the operator of the Gahcho Kué mine, provide an immediate injection of capital to address the 2025 near cash flow deficit faced by the company and extend the term of the second lien notes to December of 2027. These were due to mature in December of 2025. Furthermore, we recently announced that our AGM to be held on May 16, shareholders will be asked to pass an ordinary resolution approving a new working capital facility from Dunebridge Worldwide, a related party of the company in the amount of 33 million Canadian dollars or the U.S. dollar equivalent amount. In respect of these transactions, for which we received much appreciated support from De Beers and our financing partners, I would like to recognize the continued support of our largest shareholder and debt holder, Mr. Dermot Desmond, who has provided support to the company over many years. There has been a great deal of hard work to optimize the operations and manage costs in a challenging market environment. Access to the high-grade NEX ore body has been achieved early due to record mining performance and work continues to open up full access to that ore body over the next several months. With that, I will turn over to Steve to take us through the financial results. Steve?
Steve Thomas: Thank you, Mark, and good morning, everyone. Noting all numbers discussed will be in Canadian dollars unless otherwise stated. The quarter has seen a relatively low volume of carats sold compared to Q1 2024 with continued constrained pricing, albeit slightly above the price in Q1 2024 and almost identical to the average price achieved across 2024 year. The cost of sales in Q1 2025 are comparatively higher when normalizing for carats sold due to inventory write-downs in the period and the depletion of the ore stockpile, which means previously capitalized costs are amortized and form part of production costs and depreciation charge. The working capital position of the company is markedly different compared to the year-end due to several factors, most notably the closure of the refinancing arrangements in March, which saw the reclassification of the second lien loan notes to a long-term liability with a December 2027 term date and the drawing down of US$20 million from the bridge loan. Although the quarter has seen minimal movement in the closing versus opening USD CAD exchange rate, a realized foreign exchange loss has arisen on the hedges settled in the quarter at rates below the prevailing spot rate. With $45 million less revenue being earned in Q1 2025 than Q1 2024, adjusted EBITDA and cash provided by operating activities for Q1 2025 are consistently $44 million and $41 million, respectively, lower than Q1 2024, in line with that revenue reduction. Turning first to the balance sheet. As discussed, the material changes in the balance sheet reflect the revised financing arrangements with the recategorization of the second lien loan notes from a short-term to long-term liability and accounting for a US$20 million drawn against the Dunebridge Credit facility, also disclosed as a short-term liability. Beyond this, inventories at $213 million have increased by $16 million during Q1 2025. This reflects a $38 million net increase in consumables, reflecting winter road deliveries, a large portion of which being 51 million liters of fuel, less the consumption in the quarter. That increase in consumables is offset by a $22 million reduction in the ore stockpile down to $87 million, and that reflects the reduction in ore tonnes from 4.1 million tonnes at the 2024 year-end to 3.1 million tonnes at the quarter end. This reduction is in line with the plan to feed the process plant from the ore stockpile whilst the mining operation focused entirely on mining waste tonnes to progress access to the NEX ore body. The value of rough diamonds has stayed relatively flat at $23.7 million at the quarter end, although the volume of goods has reduced from 319,000 carats at the start of the quarter to 268,000 carats at the quarter end. The increase in the accounts payable balance from $64 million at the start of the year to $112 million at the end of Q1 '25 is consistent with the delivery of bulk commodities, which completed on the winter road on March 28. The comparable AP figures at Q1 2023 and Q1 2024 were $98 million and $93 million, respectively, and extended credit terms on fuel shipments, which would have previously been settled during the winter road delivery in 2023, for example, explains the increase we see at the end of this quarter. In respect of property, plant and equipment, the Q1 2025 balance at $613 million is $25 million above the year-end balance, which reflects a $4 million increase in assets under construction, that being large equipment parts not yet capitalized and a $20 million net increase in property, which reflects $3.5 million invested in sustaining capital, but more so $32 million of capitalized waste activity in respect of NEX waste material, offset by the depreciation in the period. To note that the total value of capitalized waste within the property, plant and equipment balance is $186 million. The embedded derivative asset at Q1 end at $4.8 million compares to a balance of $6 million at 2024 year-end, and that represents the fair value calculated for the prepayment and redemption feature in the second lien loan notes. The decline in value is due primarily to an increase in the applicable discount rate, which reflects increased volatility reflected in the increased risk-free rate and credit spread discount rates used in the calculation. Turning to current liabilities. I've discussed already the accounts payable balances and reclassification of debt to long term and the drawn balance on the bridge loan. But the other items of note are income tax payable at $164,000. Although a small figure, that represents a voluntary payment in respect of the mining royalties settled in 2025 paid in order to efficiently preserve tax pools for greater tax relief in 2026 and beyond. The second item to note is the $5.8 million derivative liability, which is reduced by $2.1 million over the quarter, and that represents the fair value of the US$75 million of currency hedges in place at the quarter end through to October 2025 and comparing their respective settlement rates to the forward FX curve. At 2024 year-end, there were US$105 million of currency hedges in place with a derived fair value of $7.9 million. As a result of the above components of current assets and current liabilities, we have seen the working capital position increased by $198 million over the quarter to a balance of $78 million. If we normalize for the aforementioned debt reclassification and drawn bridge loan account, the working capital would have otherwise reduced by $28 million, which reflects primarily the increase in the accounts payable balance. In respect of long-term liabilities, the closing rate of the Canadian dollar compared to U.S. has remained relatively flat over the quarter at 1.4387 versus the opening rate of 1.4383, which means the translation of the $227 million U.S. denominated long-term debt, results in a minimal unrealized foreign exchange loss of $313,000 in Q1 2025, which compares to an equivalent loss of $6.2 million in Q1 2024. The foreign exchange loss in Q1 2025 that we have experienced of $2.8 million is realized and it reflects the settlement of US$30 million of hedges at rates less than the prevailing spot. The derived fair value of the decommissioning and restoration liability has increased by $1.4 million over the quarter to $85.6 million, and that's because of the decrease in the nominal risk-free interest rate, which reflects the Bank of Canada benchmark 10-year bond yield rate used in that fair value calculation. Turning to cash flow and earnings plus. In Q1, 426,000 carats were sold at an average price of US$72 per carat or CAD 103 to generate $44 million in turnover. This compares to Q1 2024 when approximately 938,000 carats were sold at an average price of US$70 per carat or CAD 95 per carat for revenues of $89 million. In Q1 2025, we saw the average price per carat in the March sale at US$81, notably above that for the January sale at US$66 per carat and the average sale price in the last quarter of 2024 at US$68 per carat, and that increase reflects the quality of the goods sold along with an improvement in market sentiment over those previous quarters. Reid will elaborate more on the general market conditions in his discussion. Production costs at $39.3 million in the quarter are notably above $32.7 million in Q1 2024, reflecting in part the $10 million write-down of rough diamond inventory from cost to net realizable value, which is driven by the constrained pricing in the quarter. However, if normalized for carats sold, the Q1 2024 compared to Q1 2025 production costs would have been far lower because in that quarter, the ore stockpile grew by 1.1 million tonnes, resulting in the capitalization of costs whereas in Q1 2025, the ore stockpile reduced by 926,000 tonnes, causing those past capitalized costs to be amortized as a period expense. Depreciation of $23 million for Q1 '25 is approximately $1 million above the comparative figure of $22 million in Q1 2024, reflecting the equivalent impacts as mentioned for production costs, i.e., the value adjustment for inventory and the depletion of the stockpile in the quarter compared to its growth in Q1 '24. The cash cost of production, excluding capitalized stripping for Q1 2025 at $109 per carat and $90 per tonne of ore, are markedly above the comparative figures of $33 and $51 for Q1 2024. As with production cost, this increase is due to the impact of three major drivers. Firstly, in Q1 '25, we had the $10 million inventory write-down, which was zero in Q1 '24. Secondly, the 926,000 tonne depletion of the ore stockpile compared to its 1.1 million tonne growth in Q1 '24. And thirdly, the respective value of opening and closing inventory feeding production costs, which in Q1 2024 went down compared to Q1 2025, where they went up. The gap in comparative costs on a per tonne basis widens when viewed on a per carat basis as the grade of ore treated in Q1 2025 at 0.82 carats per tonne is close to half of the grade at 1.57 carats per tonne in Q1 2024. Similarly, the comparative costs over the two quarters, inclusive of capitalized stripping increases as Q1 2025 saw $16 million more in capitalized stripping costs than in Q1 2024. In summary, loss from mine operations for Q1 2025 of $22.3 million compares to earnings of $30.4 million in Q1 2024. On the income statement, the other loss of $1.1 million represents the increase in the fair value of the liability, which itself represents the 41 million warrants originally issued as part of the junior credit facility that were changed from an exercise price of US$61 per common share to CAD 0.20. As a result of this change to a Canadian dollar-based value, there will no longer be a need to mark-to-market as these warrants, along with the 10 million warrants issued under the bridge loan are treated as an equity instrument with fair value established wants on their issuance. The net derivative gain of $815,000 reflects the $2.1 million gain on the outstanding currency derivative hedges as that liability is reduced because the U.S. dollar value of the hedges outstanding has reduced and they are now pegged against the lower U.S. dollar forward curve. That gain of $2.1 million is offset by the loss on the senior loan note embedded derivative contract due to the change in the discount factors used to derive its fair value. Note that in response to the recent weakening in U.S. dollar value compared to Canadian in April 2025, the company took out a further US$15 million hedge for conversions that will take place in Q1 of 2026. In respect of the foreign exchange movement in the period, as discussed earlier, the loss arising is realized based on those US$30 million hedges that actually settled in the quarter compared to the previous period's unrealized foreign exchange loss of $6.2 million. Deferred income tax recovery at $3.8 million in Q1 '25 compared to a deferred income tax charge of $2.3 million in Q1 '24 reflects the reduction in the deferred tax liability in Q1 '25 due to the scale of the operating loss arising in the period and the previously mentioned voluntary $160,000 tax payment, which delivered approximately $1 million in deferred tax benefit for the future. Cash flows provided by operating activities, including changes in noncash working capital in Q1 '25 were an outflow of $916,000 compared to an inflow of $39.953 million for Q1 2024, and that is largely driven by the $45 million lower comparative turnover across the two quarters. Similarly, per the analysis in the MD&A, the adjusted EBITDA in Q1 2025 was $6.1 million versus $50 million for Q1 2024. The resultant EBITDA margin for Q1 2025 based on sales was 14% compared to 56% for Q1 2024 and an average of 34% for the full year of 2024. The above performance resulted in a net loss after tax for Q1 2025 of $34.4 million compared to a gain of $6.9 million in Q1 2024, again, driven largely by the comparatively lower sales volume and U.S. dollar selling price. For Q1 2025, the loss per share was $0.16 compared to a gain of $0.03 for Q1 2024. In conclusion, for Q1 2025, although we continue to see good operational performance, as Mark has mentioned, with the mining fleet operating above plan and the high throughput rates in the process plant, it has been a challenging quarter financially with low sales volume and constrained pricing, albeit the price achieved in March sale being better than the average price achieved in the recent past. Having worked through the significant refinancing program in March, we hope at the AGM on this Friday to receive approval for the working capital facility provided through our major shareholder and stalwart supporter, Mr. Desmond. Our focus remains on pushing the operator to access the lucrative NEX ore body, which, as Mark has mentioned, is being successful, whilst performing safely and of course, focusing on minimizing other costs wherever possible. Thank you for listening. And with that, I will turn the presentation over to Reid Mackie, our VP, Diamond Sales and Marketing. Reid?
Reid Mackie: Thanks, Steve. Following a tough 2024, we saw glimpses of market recovery in Q1, with both rough and polished prices first stabilizing and then starting to rise, with shortages beginning to develop in sought-after product categories. This was reflected in our second sale of the quarter where we encouragingly saw some of the most competitive bidding that we've seen in years. The rough market momentum is currently stalled due to tariff uncertainty, overall inventories have come down, the pipeline is rebalanced and the wider industry is actively exploring ways to maintain recovery. Current trade and tariff negotiations are, of course, ongoing and will inform how the industry responds and adjusts in the coming months. Other rough producers continue to offer flexibility to maintain sales as they manage reintegration of inventories held back during last year to protect pricing. 2025 is forecast to be one of the lowest global production years since the late 1980s and potential to control and leverage limited supply remains even if only modest growth is realized in downstream purchasing. Consumer sentiment is mixed with the release in Q1 of positive full year forecast of U.S. consumer spending, although it is currently unclear how tariff uncertainty will impact this. Recent commentary on U.S. retail, though, is generally positive with solid sales in the run-up to Mother's Day, and the Indian market continues to grow. However, Chinese domestic retail remains subdued. The rising price of gold now well over $3,000 an ounce is putting additional pressure on jewelry purchasing. Luxury brands, though, continue to outperform other retailers and remain committed to exclusively using natural diamonds. The lab-grown diamond products segment again increased its share of sales in 2024. However, factory-made diamonds now appear to be at an inflection point that is creating a wider separation between their price and that of natural diamonds. Expectation is that this will limit lab-grown's negative impact on confidence in the natural diamond market. There is an increased call from consumers for clarity on how lab-grown diamonds differ from natural diamonds, and for the assurance of clear verification of whether their jewelry contains natural diamonds or LGDs. These consumers' needs will be supported this year by the widespread rollout of reliable technology that accurately differentiates lab-grown diamonds from natural diamonds. And this should mitigate further erosion of consumer confidence while supporting differentiated marketing of natural diamonds. LGD producers are also continuing to shift into technology applications and away from consumer jewelry markets. And an example of this, which was brought up by Mark earlier on in the call, is the closure of Lightbox. And De Beers is continuing to explore the tech space for lab-grown diamonds. So to recap, in Q1, the industry welcomed a long-awaited return to positive. Going into Q2, the impact of tariffs is causing disruption across all sectors, but the industry is already redistributing some of these activities, such as grading and will continue to adapt to navigate tariff developments. Looking further ahead, rough diamond demand is expected to align with reduced production levels from the mines and producers will need to continue to carefully manage reintegration of without goods to protect recovering prices, even as demand is predicted to increase long term. Demand for branded, traceable natural diamond jewelry with positive origin stories will continue to grow. And with that, I will pass you back to Mark for his concluding remarks.
Mark Wall: Thanks, Reid. In summary, to start 2025, we have continued to focus on safety performance and achieved 3.85 million hours worked without a lost time injury, continued to deliver strong process plant performance during a period of low-grade stockpile processing, renegotiated our long-term debt and added liquidity into the business in the short term, executed a range of initiatives to improve mining performance, which have been successful in accelerating our access to the higher-grade NEX ore body. As we move through 2025, we will continue to focus on the controllables of safety, production and costs while being positioned to take advantage of any improvement in the diamond price environment. Thanks for your time, and the team is now available for any questions that you may have. Andrew?
Operator: [Operator Instructions] Your first question is from Daniel McConvey from Rossport. Please go ahead.
Daniel McConvey: Good morning, Mark. Thank you for continuing to do the conference calls. And thanks for the update. I guess first question, obviously, tough times. It's great to get in the refinancing and Mr. Desmond is helping you out here. There is hopefully a window to better times of future and liquidity. In your going concern note, you say you don't have -- over the next year, you're looking at negative free cash flow, maybe that's starting with January. But the NEX zone getting into it seems to offer one of the glimmers of hope here. If you can get into the NEX, can you -- how does that change -- you're into it. How does that change your outlook for the next year? Is it possible you could have positive free cash flow at current pricing?
Mark Wall: Thanks, Daniel. The market is something that I can't accurately predict obviously. I'll say...
Daniel McConvey: I think in current pricing?
Mark Wall: Right. Well, in current pricing, the NEX ore body has a better quality frequency distribution. It has a better size frequency distribution, and it has a better grade. So it's all around better. So we are into that earlier than planned as a result of the overperformance on the mining. We're optimistic on the market. And we will -- all we can do is we'll continue to focus on cost production and performance overall, safety is a given. And as we work through, Steve may have something to add. But as we work with the auditors, there's certain controls and things that we need to do. As it relates to going concern statements, we need to be prudent, and we'll continue to do that. I'm optimistic about the price. I'm optimistic about the NEX ore body. As far as the going concern statement itself, I don't have anything specific to add to you, Steve?
Steve Thomas: No, I think you've summarized obviously, NEX can give us better revenues the sooner we get into it and it benefits that reference a negative cash flow position. Obviously, from the auditing perspective, you mentioned the -- if not conservative, the approach we need to take when we consider going concern. If at any point on any day in the next 12 months, we exhibit a cash -- negative cash balance, then that triggers that comment. Of course, in reality, if we face those situations, we will adjust the timing of payments accordingly to mitigate that. And so it doesn't mean that we can't take actions when we forecast those balances. But any point in time in the next 12 months when a theoretical negative pops up, that's what drives that comment, Andrew.
Daniel McConvey: Okay. If I could just continue, I wasn't when I was thinking of the going concern note, I was just thinking of the statement about the negative free cash flow. And it sounds like the hope -- let's just talk about the hopes. The hope is obviously the pricing and the hope is given the mining and planned efficiencies, I think you're happy with them over the past quarter, getting into the NEX ore body is a good thing. So from an operational standpoint, there's a reason to be optimistic in terms of your actual mining processing activity being at least as good as planned in 2025?
Mark Wall: Right. And Daniel, I'd add that 2026, if we go back to the technical report that was issued a period of time ago, is a very, very strong year for the company from a production perspective. So the objective in 2025 is to do the best we can with what we've got to improve the revenue. And the best way to do that is to bring forward the access to NEX, which is a superior ore body to the stockpile. We've achieved that. We'll get that into the plant and then the market will tell us the rest of the story.
Daniel McConvey: Okay. Last -- excuse my land line here. The -- just in terms of retaining people, et cetera, just over the next year or two, and is it -- how much of a challenge has it been? And how is it looking going forward just in terms of retaining key people? And are you very happy with your with the management and workforce that you have been able to keep?
Mark Wall: Daniel, it's a really thoughtful question. I would say it's a challenging time in the industry all around, and there have been several meetings of the diamond mines in the Northwest Territories. And I will also add that the government of the Northwest Territories has been very, very engaging and very, very supportive of the diamond mines in the Northwest Territories of Canada and the employment and other benefits that, that brings to the territories. So that is a very positive thing. Everyone is very live to the fact that businesses require good people and retaining those good people is really important. De Beers who are the operator of the mine that we work very, very closely with, are very live to this. The President of De Beers Canada, who I engage with daily, is very live to this. It's something we discuss often. And we are really, really focused on retaining people in the Northwest Territories, in the diamond mining environment in order to be able to deliver our plans. And it's a really, really key point that you raised, and thanks for raising it. And I can say we're very focused on it.
Daniel McConvey: Okay. And things are going as good as you could have expected the last few months?
Mark Wall: Yes, we've had no losses of key personnel in a couple of areas, I think we've actually upgraded personnel. We've managed to leverage some of the Anglo American personnel as well, which is a great talent pool to be able to dip into, one of the advantages of operating with De Beers. So I think things are actually going very well in a very, very challenging environment. And again, I'd call out the support of the government of the Northwest Territories and the engagement on this exact point has been stellar.
Daniel McConvey: Great. Thank you very much guys. Good luck in the next few months.
Mark Wall: Thanks, Dan.
Operator: Your next question comes from Christopher Lembo from Brigade Capital. Please go ahead.
Christopher Lembo: Yes. Thanks guys. Can you maybe just talk a little bit about what your expectation is for cadence of sales through the rest of the year? Should we expect sort of like that typical two to three? Have some been pushed out, so maybe we should see more or the opposite given tariff volatility?
Mark Wall: Yes, Chris, we might have to sign you up on a nondisclosure here, but Reid for fear of saying something, I didn't, I'll pass this over to you.
Reid Mackie: Sure. Yes. No, it's a good question. At this point, irrespective of the tariff expectations or anticipation of any surprises, our sales schedule is going ahead as planned. So there are some times where you'll get two sales instead of three sales in a quarter. Obviously, in a lower volume context right now, there are -- if we see an opportunity to bring some volumes forward into a previous quarter to advance the revenue, we will do that. But we can't -- we aren't really afforded the luxury to try to second guess what's going to be happening in terms of the market as a result of tariff or anything else. So we've prided ourselves on having a lean and nimble sales platform that can get goods to market as quick as anybody out there. And that's what really our foots on the pedal, pedal to the metal, so to speak, with any production that comes through.
Mark Wall: Thanks Reid. And Chris, I'll just add to that. We're fortunate to have Reid in place. Reid is very, very experienced with the market. He's engaged day-to-day on all of this. We talk about different options, different decisions, different timings. And as Reid said, one of the advantages of Mountain Province is the nimble platform that Reid has set up, the ability of the company to pivot when there is a need to pivot or an opportunity to pivot. So Reid has his plan and we'll execute the plan. And then if there's a need to change, we're very much able to do that within the platform that we use.
Christopher Lembo: Thanks guys.
Operator: [Operator Instructions] There are no further questions at this time. Please proceed with closing remarks.
Mark Wall: Thanks, Andrew. Steve, I don't believe there's anything on the online portal.
Steve Thomas: No, that was everything.
Mark Wall: I really appreciate Chris, Daniel, thanks for your questions, and thanks for your time, and I look forward to catching up with everyone at the AGM in a couple of days and then to talk about the second quarter. Thanks, Andrew.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.